Operator: Good day, ladies and gentlemen, and welcome to the PDF Solutions Inc. Conference Call to discuss the company's Financial Results for the Fourth Quarter and the Year Ended December 31, 2020. As a reminder, this conference is being recorded. I will now turn the call over to Joe Diaz of Lytham Partners. Joe?
Joe Diaz: Thank you, Laurie, and thanks all of you for joining us on today's call. We appreciate your time and your ongoing interest in PDF Solutions. As the operator indicated, my name is Joe Diaz. I'm a Managing Partner of Lytham Partners. We are the Investor Relations consulting firm for PDF. If you do not yet have a copy of today's press release, it's available on the company's website at www.pdf.com. Some of the statements made during the course of this conference call will be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding PDF's future financial results and performance, growth rates and demand for its solutions. PDF's actual results could differ materially. You should refer to the section entitled Risk Factors on the company's Annual Report on Form 10-K for the fiscal year ended December 31, 2020 and similar disclosures in subsequent SEC filings. The forward-looking statements and risks stated on this conference call are based on information available to PDF today. The company assumes no obligation to update them. With that said, I'd like to introduce John Kibarian, PDF Solutions', President and Chief Executive Officer, who will be followed by Adnan Raza, Executive Vice President and Chief Financial Officer. Upon the conclusion of management's remarks, we will open the call for your questions. Let me now turn the call over to John Kibarian, President and CEO of PDF Solutions. John?
John Kibarian: Thank you for joining us on today's call. If you have not already seen our earnings press release and management report for the fourth quarter and the full year, please go to the Investors section of our website, where each has been posted. As we head into 2021, we have established the components enabling the next step in the evolution of PDF Solutions. We continue to expand Exensio, our real-time analytics platform that connects sables and system companies, with the foundry test and assembly suppliers to enable the industry to maximize the yield, quality and manufacturing productivity. Today, I will summarize the progress we made in Q4 and all of 2020, what our perspective of the environment is and our expectations for 2021. We went into the year continuing our multiyear transition of the business. Just a few years ago, the majority of our revenue and profits were derived from providing our integrated yield ramp solution to foundries, who were ramping the next node. In 2020, our business was primarily providing an analytics platform to a community of customers that enable them to optimize yields reliabilities and operations through the manufacturing life cycle. Entering the year, pre-COVID, we anticipate continued adoption of our solutions for leading-edge customers and measured growth in the adoption of our Big Data version of Exensio via the cloud. Now with the benefit of hindsight on our 2020 performance, we see that the transition to analytics particularly on the cloud, accelerated beyond our expectations last year, with a leading-edge characterization IYR solutions underperformed. Our 2020 bookings were up over two and half times 2019. The fastest-growing component of bookings was Exensio via the cloud, which represented the majority of the seven and eight figure Exensio contracts signed in the year. Given the large size of those contracts, well over half, the Exensio bookings on a dollar basis, look for customers who chose Exensio via the cloud. Our business on the leading edge for yield ramps characterization and DFI was lumpy and smaller than we anticipated for the year. With DFI, we continue to work on customer workflows that require features in the product to conclude this year on a broader applications and business opportunity. In Q4, the two largest deals in the quarter were again for Exensio via the cloud. As was the case in the first three quarters of the year, contracts associated with delivering characterization solution on a leading-edge were weaker or slipped. Overall for 2020, our bookings exceeded our targets for the year, due to strong Exensio sales that more than offset weaker characterization sales. Exensio particularly via the cloud tended to have three to five-year contract durations or our characterization contracts tended to be shorter in duration. The revenue did not grow as fast in 2020 as the bookings. That said, PDF is positioned for significant business growth in 2021 as we benefit from the strong bookings -- 2020 bookings, expect to convert a number of successful customer demos and pilots, undertaken in last year. In 2020, we competed two -- we completed two important strategic initiatives to expand Exensio from being a tool that companies use to analyze data to being a platform that allows companies to share their knowledge and capability. The first of these initiatives was our partnership with Advantest. The second was the Cimetrix acquisition that enabled us to instantly reach a broad number of equipment companies, many of whom have similar desires as Advantest to share their domain knowledge with their customer base. The combination is more than, additive, as our relationship with these companies is enhancing Exensio's value for our foundry fabless system and OSAT customers. The Advantest partnership was announced in Q3. By licensing Exensio, Advantest was able to accelerate and announced at Semicon Japan this past December products combine their detailed knowledge of test with Exensio's machine learning. As Advantest and PDF have been meeting with customers the frequent feedback we get is that customers were happy Advantest was using an industry accepted platform to deliver their capability, rather than providing a proprietary solution. Building on our success with Advantest in the fourth quarter, we announced our acquisition of Cimetrix, a leader in the tool connectivity and communications. One strength of Exensio is our direct connection to the tools in wafer fabs test and assembly facilities. We support over 400 tool types from hundreds of vendors. This is possible because the majority of tools support industry standard communications such as GEM GEM300 and Interface A. Cimetrix is leader in defining those standards as well as providing implementation software to their equipment customers with close to 200 companies licensing their solution. Cimetrix business model is to provide the software development kit to the equipment vendor on a license basis and then charge a one-time license for each, equipment that ship with the software. Now integrated with PDF we will continue this business model. However we acquired Cimetrix so we can bring to their large equipment base the ability for them like Advantest to provide machine intelligence to their customer base. We believe that Exensio Analytics and Cimetrix connectivity combined can be an important platform for the equipment companies to deliver their knowledge embedded in software and for them to collaborate with SaaS many of whom also use Exensio. We completed the acquisition on December 1. As a result Cimetrix contribution for revenue in the fourth quarter and for 2020 was small. But we already have received positive feedback from the customers. We believe the integration of Cimetrix and Exensio will be an important factor for our future growth. In summary, Q4 and 2020 overall were transformative for PDF accelerating our cloud business as we move to be a platform for the industry's analytics and machine learning. As we begin 2021 the semiconductor environment remains robust and demand for integrated circuits is broad-based. Like 2020 we anticipate continued demand for our analytics platform particularly on the cloud from a broad-based section of customers including equipment companies' fabs OSATS fabless system companies and Tier one auto suppliers. Governments carmakers Tier one suppliers and system companies are all realizing the importance of semiconductors in the supply chain. This is driving interest in PDF's products and services. Given the industry tailwinds I just summarized we anticipate accelerated -- acceleration of revenue growth. As we stated in our 2019 Analyst Day we expect the analytics to grow at 20% compound annual growth rate. In 2020, while bookings were well above that growth rate revenue growth was below target. In 2021, we anticipate analytics revenue growth to be above that level in part due to our private bookings continued momentum and the addition of a full year of Cimetrix and Advantest. For 2021, we also anticipate lower gain share levels as contracts time out which will dampen the impact of strong analytics growth. As we continue to deemphasize our IYR solutions our long-term model anticipates the company's total revenue growth rate approaching the target analytics growth rate of 20%. Overall we expect 2021 to be a transformative year on our total revenue growth making significant progress to realize our long-term growth targets. Finally, I want to thank all of the PDF employees and contractors for the efforts during what has been an exceptional year. We managed to work in tight concert executing the two largest Exensio cloud contracts ever closing our largest acquisition in years and providing our customers with stellar service. Now I'll turn the call over to Adnan, who will review the financials and provide his perspective on our business. 
Adnan Raza: Thank you, John. Good afternoon everyone, and great to be speaking with you today. I hope all of you are keeping safe in the current environment. We are excited about sharing our quarterly and full year results with you today. And how the progress we have made positions us well for 2021. We posted our earnings release and a management report in the Investor Relations section of our website. Our Form 10-K will be filed with the SEC in March. Please note that all of the financial results we discuss on today's call will be on a non-GAAP basis and the reconciliation to GAAP financials is provided in the materials on our website. To start with the business update, we're excited about a very good and significant year for PDF Solutions, on both the organic as well as the inorganic front. Overall, we had very strong booking growth of more than 2.5 times 2019 bookings, signed multiple large cloud deals including Advantest contract and the strategic investment, grew the Exensio and overall analytics revenues and closed on a great M&A addition to our analytics portfolio with the acquisition of Cimetrix. Now turning to the analytics revenues, we continue to move forward on our strategic transition to an analytics company. Analytics as a percentage of our total revenues has steadily increased from 45% for 2018 to 58% for 2019 to 65% for full year 2020. We expect this trend to continue in 2021. I will now share with you our Q4 results and full year results by each category. First, on bookings. For the fourth quarter of 2020, our total bookings were similar to total bookings for the same period last year. However, the Exensio bookings grew year-over-year and continue to become a larger portion of our total bookings. For the full year of 2020, our bookings, like I mentioned before, grew by more than 2.5 times year-over-year. If you look at the 2020 performance on a book-to-bill basis, we achieved a healthy level of well above 1.5x ratio. Within analytics and specifically Exensio, we're pleased to see increasing cloud deals and Exensio bookings becoming a larger portion of our total bookings. To give you a sense of the progress we've made during 2020, our Exensio cloud bookings were up a few 100% versus 2019 both in number of contracts and dollar value basis, even excluding the Advantest deal. Now turning to Q4 revenue results. Analytics revenue of $14.5 million was up 7% versus Q4 of prior year and up 1% versus Q3 of this year, primarily driven by strong growth in Exensio revenues, offset by declines in DFI and characterization. Our cloud business within Exensio continues to be strong. With the Cimetrix acquisition closing in December, we benefited from a month of revenues. However, that was offset by purchase accounting haircut on deferred revenues. IYR revenue of $7.9 million was down 13% versus Q4 of prior year and down 10% versus the prior quarter, due to the lumpy nature of a small number of contracts. Total revenue of $22.4 million was down 1% versus Q4 of prior year and down 3% versus the prior quarter. Our shift to analytics business continues with analytics now accounting for 65% of our Q4 revenues compared to 60% for the same quarter of last year and 62% versus the prior quarter. Now turning to full year 2020 revenue results. Analytics revenue of $57.2 million for 2020 was up 15% on a year-over-year basis, which is below our target growth rate for analytics of 20%, due in part to bookings mix, which were richer in cloud contracts, which were also long-term in nature with slower revenue ramps compared to our model for the year which had higher mix of time-based license, characterization and DFI contracts. While this impacted our 2020 growth rate, it leaves more powder to support revenue growth in 2021 and beyond. Turning to quarterly gross margins. On the cost of sales and gross margins consistent with what we mentioned on our last call, we continue to make investments to support the growth of our business. The increased cost of sales spend of $0.6 million versus same quarter of last year and $0.1 million versus the prior quarter was driven by the addition of Cimetrix costs, cloud expenses and annual merit increases, offset by a reduction in travel expenses. Our non-GAAP gross margin for the quarter came in at 61% versus 64% for the same quarter last year and 63% for the prior quarter. Our investments were driven by spending cloud, headcount and Cimetrix, all of which we view is positioning us well for future growth in analytics. Our annual cost of sales, we had $32.6 million of expenses, 10% higher versus prior year, primarily driven by cloud expenses to support our growing Exensio Analytics cloud contracts and personnel-related costs, offset by reduced travel expenses. Our non-GAAP gross margin for the full year was 63% versus prior year of 65%. If you zoom out and think back to takeaways from the cost of sales category, this quarter and year have been a story about positioning us to be the scaled analytics provider we're becoming. We have investments in three categories: Cimetrix, our people and cloud infrastructure. We intentionally made investments in cloud infrastructure in the latter half of 2020, as we continue to win cloud bookings, which will support our future revenue growth. As a result, we remain confident in our ability to achieve our target financial model gross margin of 70%. Now let's look at our quarterly operating expenses, which were up $2.2 million or 17% versus the same quarter of prior year and up $1.2 million or 9% versus prior quarter. The increases this quarter were primarily driven by Cimetrix expenses in both categories of R&D and SG&A, some Exensio R&D headcount increases, annual merit increases and cloud software demo costs offset by reduction in travel expenses and the non-GAAP treatment of Cimetrix-related legal expenses.  Our annual operating costs were up $5.2 million or 10% on a year-over-year basis increased R&D costs from Cimetrix and annual merit increases were offset by reductions in frap. The majority of the OpEx increase was from increased SG&A expenses driven by the Cimetrix acquisition, subcontractor costs, legal expenses for the Cimetrix acquisition and some headcount increases, offset by a reduction again in travel expenses.  Now to taxes and a GAAP-related item. In the fourth quarter of 2020 as part of our annual review process, we recognized a full valuation allowance of $21.1 million on a GAAP basis against our US net deferred tax assets pursuant to ASC 740 on income taxes. The valuation allowance can be released against future GAAP income tax profitability.  Turning back to non-GAAP and a summary of net income and our EPS. In summary, we posted a non-GAAP net loss of $1.3 million or $0.03 per share for the quarter compared to a net profit of $1.1 million or $0.03 per share for the same quarter prior year and a net profit of $0.1 million or $0.00 per share for prior quarter.  On a full year 2020 basis, we posted a non-GAAP net loss of $0.8 million or $0.02 per share compared to net profit of $4.5 million or $0.14 per share during 2019. As we have ramped up Exensio, we are the cloud at an accelerated rate this year; we grew costs in line with bookings growth, but ahead of recognized revenue.  PDF's strong balance sheet affords us the ability to put a strong infrastructure in place which our customers expect. Regarding further details on; the balance sheet side, cash, cash equivalents and short-term investments grew to $145.3 million in 2020 from $97.6 million in 2019. The increase during the year 2020 was driven by $65.2 million from Advantest strategic investment, $21.8 million of operating cash flows offset by cash used for Cimetrix acquisition.  Our accounts receivable balance remains at strong levels. Our short-term deferred revenues have nearly doubled year-over-year giving us increased confidence. Our strong balance sheet with no debt and $145 million of cash and short-term investments and our track record of generating cash provides us with the liquidity we need to expand our analytics platform both organically such as cloud investments and inorganically such as the Cimetrix acquisition to drive our strategic direction.  Like many companies experienced the COVID-19 situation accelerated trends that had begun before for PDF as well. In particular 2020 drove an acceleration in our cloud business with industry players like Advantest realizing the value of analytics with a platform like PDF Exensio.  As we look forward to 2021, we anticipate growing our analytics revenue greater than our 20% target driven by the strength of our 2020 cloud bookings full year of Cimetrix and Advantest revenues and the macro trends John highlighted. However some of the analytics growth will be offset by declines in IYR. As a result, we expect our total revenues to start moving towards our target growth rates.  While our gross margins for 2020 were compressed due to cloud investments to support our bookings. In 2021, we expect to improve our gross margins as we start achieving scale.  In summary, while 2020 carried many challenges limiting the way we operated the business, the team embraced the environment and accelerated our long-term objective of a cloud-based analytics platform, broadly supporting the semiconductor electronics industry. We're excited about entering 2021 and building on the momentum we created.  At this time, let's open the call for your questions. Operator, please begin the Q&A portion of the call. 
Operator: [Operator Instructions] Our first question comes from the line of Tom Diffely of D.A. Davidson. Your line is open.
Tom Diffely : Yes. Good afternoon. Thanks for the question. First I want to dig into a little bit more on Cimetrix. What do you think the revenue impact and the cost impact will be in the first quarter? And is that the regular revenue run rate, or is it still a bit of deferred revenue haircut in there?
Adnan Raza: Yes, sure. So, yes, along with the purchase accounting, we do expect some deferred revenue that they had on the opening balance sheet of December 1, 2020 to reflect during the rest of the year. That said, their margins continue to be strong, well-above our margins and we expect the growth momentum to continue on a total level similar in line to our analytics growth rate.
Tom Diffely: Okay. But what level are we starting at here? Was it a $15 million run rate, $10 million run rate?
Adnan Raza: Yes. We're not disclosing the specific numbers but if you go back to the announcement that we did when we did the transaction, it was about $10.6-ish million. So I think you can use that as a starting point and think about what 20% revenue growth rate would imply for last year as well as 2021 offset by some deferred revenue.
Tom Diffely: Okay. And then similar question on the cost side, I know we only had one month of their costs in the business in the fourth quarter. So just take the delta going in from the third to fourth and multiple by two to get to the first quarter increase in costs?
Adnan Raza: Look, I mean, I think on the gross margin side as you think about symmetric itself, we had shared that they're kind of in the mid-80s percent. So with the haircut because it's taking a haircut on the revenue, but not quite on the cost probably still in the 80% range, I think is a way to think about Cimetrix.
Tom Diffely: Okay. And then John you mentioned that there are a few custom demos and pilots going on. How meaningful could those be over the next year or two from a revenue point of view?
John Kibarian: Yes. Those are greatly, the puzzles I referred to have greatly Exensio on the cloud with multiple elements, multiple modules with Exensio they would drive customers to run rates that are in the multi-hundred million dollars per year. And really establish Exensio -- take Exensio up from being a tool that they use inside the company broadly in the organization and make a platform for them. We have a number of those ongoing with customers right now. So that finished in 2020 that we're in negotiation with now and some matter we anticipate finishing up over the next couple of few months and we expect them to sign mostly in the first half of this year.
Tom Diffely: Okay. And then you talked about the full year with the analytics being above 20%. If you strip out Cimetrix though, are you at your 20% growth rate, or are you still being impacted by the factored transition to these longer term models or longer term contracts?
Adnan Raza: Yes. I think look you're right the Cimetrix, obviously, helps but I get it it's a business that we wanted to expand and growing the direct enough. We still believe even without Cimetrix just given the growth rate that we would have from Advantest as well as growth write in our own business, we should be able to achieve the 20% analytics growth rate.
Tom Diffely: Okay, great. And finally, what do you view as the rate of IYR decline over the next few years and maybe the linearity of that decline over the next few years?
John Kibarian: Yes. We do expect with the exception of the stuff that we have going on in China by and large contracts to roll off there will be some roll-offs in the second half of 2021. That will mean that there will be a meaningful decline in IYR 2020 -- anticipated in 2020 versus -- 2021 versus 2020. And then as we look out, it will start reaching something in 2022 and 2023 where it really is dependent primarily on those newer contracts that are greatly dependent on what goes on in production in China and other parts of the world. So I think then it gets kind of more of a steady state level.
Tom Diffely: Okay, great. I’ll jump back in the queue. Appreciate your time.
John Kibarian: Thank you, Tom.
Operator: And your next question is from Christian Schwab of Craig-Hallum. Your line is open.
Tyler Burmeister: Hi, guys, this is Tyler on behalf of Christian. Thanks for letting us ask the question. So first question a little bit of a follow-up I guess. You guys outlined Cimetrix and the size you're expecting that to be in 2021. I was wondering, if you can quantify, I guess what percent of analytics business you would attribute to, or connect to the partnership of Advantest?
John Kibarian: The minimums that on the Advantest contract are about $10 million per year. Obviously we had a very -- a portion of that in 2020. We expect to get a full year of the minimum. There's also things we're doing with Advantest that would grow that in this year beyond that level. The exact number I don't really know, Tyler, we expect it will be above the minimum.
Tyler Burmeister: Okay. That's perfect. That's very helpful. And then, I guess, any help or color will be strong bookings going to the year I would imagine there's some level of visibility. Is there anything that you mentioned more second half drop-off in IYR, but anything else seasonally quarter-over-quarter through the years to call maybe size just, kind of, steady state sequential growth?
Adnan Raza: Yes. I think the way to think about it is, kind of, what we said during the script itself. You're spot on that the analytics would grow pretty strong and that towards the second half of the year IYR starts to decline. I think we made the comment that if you looked at total company revenues, you would see them approaching the 20% growth rate target that we had set for analytics.
Tyler Burmeister: All right. Perfect. We can do that math. And then following on Tom's question a little bit. The OpEx line stepped up here in Q4 little over $15 million. There's only a partial quarter of Cimetrix involved in that. So what's the baseline OpEx level, we should be thinking about with some moving pieces going to Q1? Is it $16 million -- $17 million what's the good baseline quarterly OpEx run rate to be thinking about? 
Adnan Raza: Yes. I think, look I mean, we're constantly trying to measure business and spend and evaluate where we want to optimize the resources as well. I think from a spending perspective, we feel pretty good at the levels where Q4 came in at least to start off the year. Yes through the year, we will be investing some more into the R&D side, but we expect that we can monetize some of the savings from the SG&A side as we're getting advantages of those care for our company.
Tyler Burmeister: That’s perfect. Very helpful. That’s all for now. Thanks, guys.
Operator: [Operator Instructions] Your next question is from Jon Tanwanteng of CJS Securities. Your line is open.
Jon Tanwanteng: Hey, guys. Thanks for taking my questions. My first one John, if I look at what Advantest is going to add in 2021 plus Cimetrix that number approaches 40% growth already. So I'm just trying to figure out what your bogey is for everything outside of that in the analytics business?
John Kibarian: Yes, we gave ourselves some cushion with that, obviously, Jon. That's why we said we thought we could. We were very disappointed that we did not meet our analytics growth rate in 2020. But when we looked at the nature of what we went into with backlog and what we've added into the business, we felt very good that when you start looking over average this year or next year you're still going to greatly beat the 2020 -- the 20% growth rate when you take an average over the couple of years. And so, obviously, yes, we like not to see a fair amount of headroom there. 
Jon Tanwanteng: Got it. That's helpful. I wanted to touch on the semiconductor shortage situation that's going on. Is there any direct impact to you guys, number one, either positive or negative? And number two, as you look out to the long-term and the company starts thinking strategically about issues like this what roles do you have to play in helping people get around this kind of thing that's going on. I see that people are building more foundries adding more capacity. But just wondering if you had an opinion high level what this may do for, yes, depending on your products?
John Kibarian: Yes, thanks, Jon. Yes, we do see that. We've had a number of dialogues with customers on the operations side. So some of the interest in some of the Exensio control applications and test applications are all around OEE and operational effectiveness, and I was on the call with the customer a few days where they said, yes, we were able to get some improvement in operational effectiveness because of what we're able to do with Exensio test. And we do anticipate -- and we see interest and demand in the products for those operational elements -- where it used to be about yields and quality. That's factored into customers buy decisions that is a good thing for PDF overall. On the -- overall we do see on the equipment side more and more demand for connectivity. And we've gotten off to a very strong start in this first quarter on connectivity equipment shipments driving the onetime licenses on our connectivity solutions. And we anticipate that as you say build-out of factories happens that will drive a very -- it gives us confidence on our metrics connectivity products. And then when we look at kind of the ramping up the leading edge capability. We do see some signs there. It's been very lumpy in 2020 and obviously, we were disappointed about that. It didn't deliver what we wanted it to. As we look into 2021, we do see the inklings of people wanting to make investments. And, I think, I've had one of the other announced reports right? That there's a government factor in that too that we're trying to parse a piece made. We've built none of our plans assuming any of that happens because how the Chinese government invests and how the US government invests, it's really opaque for us. That said, I think, everyone is coming to a realization of how important these technologies are. And PDF's platform is I think very critical for folks that are going to go make significant investments in those areas. So we think that something materializes there that would be a blue bird, but not really baked into our 2021 plans. Primarily it's on the operational effectiveness on Exensio and the Cimetrix onetime licenses. 
Jon Tanwanteng: Got it. Thanks. And then just last question. Give us a little more color on what happened with DFI towards the end of the year and kind of what your expectations are for 2021? 
John Kibarian: Yes. Thanks for the question, Jon. So when you look at DFI, we've been working with we outsole foundry on the applications. We think we understand the applications from a technical standpoint and are executing on some features in the product to make them more efficient. This is around helping that fabless-foundry interface the out critical design issues, which is what DFI lets you do because you really can scan design feature by design feature add billions per wafer in meaningful and reasonable times. And you can't do anything like that in anything close to what this machine can do. And the way the whole software and the integration with Exensio goes on. We believe there's some work you need to do with the lead fabless in the foundry to drive that to be, kind of, a standard operating procedure. Right now, this has really been a one-off thing. And we feel like -- and I think we've been showing what you can do technically from an R&D standpoint. But we've not turned the corner and made this into something that is done in every product bring up, for example, or done on a regular basis as they go through process changes in the fab. And these are the things we've got to figure out how to solve. And we're kind of giving ourselves this year to solve that, because if we can't solve that we can't make this into a business. We need to be able to prove that. The technical stuff that we can find defects, and here's how you apply it as you bring up new products and as you bring up process fabs. We think we understand those things, but the proof is in the play.
Jon Tanwanteng: Got it. And just to be clear, are your expectations for that business to grow this year? Or is it going to be a little bit flattish while you figure that out?
John Kibarian: We think it will grow more like in the second half of the year, in the first half of the year. It will be more flat in the first half of the year.
Jon Tanwanteng: Got it. Thanks John.
Operator: [Operator Instructions] And we have a question from Gus Richard of Northland. Your line is open.
Gus Richard: Yes. Thanks for taking the questions. John, I just want to make sure I have this correct. Could you tell me what goes into IYR, and what goes into your analytics revenue? I'm not sure where DFI goes and I'm not sure where gain share goes.
John Kibarian: Yes. So gain share goes in IYR. Anything we saw on a subscription basis, right, goes into analytics. So DFI, which has been on a subscription basis that you pay for an annual subscription, it's been a subscription in the analytics business.
Gus Richard: Got it. And then -- 
John Kibarian: I mean, these are back selling tools, right?
Gus Richard: Right. And then, I’ve been jumping back and forth between calls. How much of Cimetrix revenue was deferred versus things that you can recognize moving forward, what's the mix?
Adnan Raza: Yes. Actually, we're not giving out specific numbers, but let me give you some directional comments that might help. I am very proud of what the business Cimetrix team has built. So, obviously the portion of their revenue that relates to this deferred revenue treatment is what's coming from the support and maintenance. On the non-support maintenance side, their revenue is very well-structured in that. Customers place BOs, customers buy the software development kits, as John mentioned. And as that order comes in, it's shipped out if the revenue gets recognized. So, it's a relatively smaller portion than perhaps in other software deals that you might have been used to thinking about for revenue as a percentage of total.
Gus Richard: Got it. Sorry to make you repeat that. And then, last quarter you guys signed an IYR contract with a Chinese company. And it sounds like the -- that business, the IYR business is going to be down with that new contract, I would expect it to at least be flat or holding up a little bit better. Is it just the decline in gain share that's the problem? Or can you just talk a little bit about what's going on?
John Kibarian: Yes. So as we look into our 2021 forecast, we do expect with a small number of really one unique customer. We expect some additional IYR business as we get into 2021. But as we -- I said in the prepared remarks, Gus, we do anticipate some gain share contracts falling off as we get in the second half of the year and that will drive down the gain share numbers as we get into that cycle part of the year.
Gus Richard: Okay. Can you just give us a sense of what process notes that would relate to? Is it 28, 14? Any color on what's rolling off.
John Kibarian: Yes. It's primarily things that are in those notes located primarily in US and Europe, some of the older contracts, contracts that started performing 2016 timeframe that are coming to the end of their life.
Gus Richard: Okay. Got it, all right. It’s very helpful. Thanks so much.
John Kibarian: Thanks, Gus.
Adnan Raza: Thank you.
Operator: And there are no further questions at this time. I'll turn the call over back to John.
John Kibarian: Thank you for participating in our Q4 call. We look forward to talking with you again soon. Have a great day and stay safe.
Operator:  -- conference call. Thank you for participating. You may now disconnect.